Operator: All participants please standby your conference is now ready to begin. Good day ladies and gentlemen and welcome to the Q3 2014 Investor Call. I would now like to turn the meeting over to Mr. Michael Kuta. Please go ahead Mr. Kuta.
Michael Kuta: Thanks very much Paul. I apologize we had a technical difficulty at the start so the call has been delayed for a few minutes. Thank you for your patience. Welcome to the Q3 2014 Investor Conference Call of Amerigo Resources Ltd. on Friday, November 7, 2014. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking statements and information within the meaning of applicable securities legislation. Although, we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking statements and information are based on reasonable assumptions and expectations. You should not place undue reliance on forward-looking statements and information because they involve unknown and known risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company to differ materially from anticipated future results, performance or achievements expressed or implied by such forward-looking statements and information. You should review our press release issued November 6, 2014, and our other documents filed with the Securities Authorities in Canada including our Annual Information Form under the heading description of the business risk factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflected in the forward-looking statements and information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking statements or information made in this presentation. Now, I'd like to introduce our Chairman and CEO, Dr. Klaus Zeitler.
Klaus Zeitler: Thank you, Michael. I just want to make a very few statements and then I will handle back to Rob and he will talk about operations and then I will hand over to Aurora Davidson our CFO who will talk about the financials. The most important statement which I want to make is that we are pretty proud about the past quarter because despite low metal prices, due to our efforts on the cost side we had a positive cash flow and not considering the charge from future tax changes in Chile we also would have a positive earnings statement for the quarter. And these positive results mainly due to the effort of Rob and the team in Chile to reduce operating cost and this was possible because we were internalizing the extraction of tailings into MVC, Rob had been having it done through contractors and that again was possible because Rob's experience in this field, he has been working in other tailings operations before and he was able through this experience to convince our team in Chile that we could do that ourselves. So that is very positive and I think that this positive trend will continue into the future. The other statement which I want to make is with respect to our Cauquenes project, you have read our press release. We are getting closer and closer to the financing of this project, as you know this is a complex procedure because we need to juggle different contracts which all have to come together at the same time together with the financing. So the construction contract, the EPC contract, which we cannot sign before the financing dock signed, the financing documents cannot be signed before we don't have a final contract for EPC and that is true for a whole bunch of other contracts be it the power contract, be it the concentrate sales contract, be it other contracts which will secure additional financing if there should be an over or if there should be a reduction in the copper price which will reduce cash flow coming from MVC in the next two years. So all these contracts all have to fall together and this is where we are working very intensely at this very moment and we hope to come to a positive conclusion in the very near future. That's about all I want to say and I will ask Rob and Aurora to go into more details in their respective areas. So Rob why don't you start?
Robert Henderson: Thank you, Klaus. Production in the third quarter 2014 was an improvement on Q2 and MVC did very well to operate safely with no employee lost time incidents. MVC produced 10.1 million pounds of copper at a cash cost of 192 per pound. The Teniente extracted from Colihues was at record levels due to consistent operation at 40,000 ton a day. However, the Colihues was copper grade and recovery continues to be low as MVC works through the zone where fresh tailings were deposited in 2006. MVC mine plant today has now progressed beyond the low grades and we expect Colihues grade and recovery to start improving in this quarter. In Q3 the copper production from fresh tailings improved from last quarter and is now back at level we experienced a year ago in Q3, 2013. So we expect copper production in Q4 to improve and the production guidance for 2014 is maintained at 40 million pounds of copper and 500,000 pounds of molybdenum and our cash cost guidance remains $2.15 to $ 2.25 per pound. As Klaus mentioned earlier the cost control measures we initiated this year having a positive impact on operating results with Q3 cash cost at 192 per pound. I am very pleased to see the fresh benefits of enforcing Colihues extraction, the MVC team started this initiative in July this year and in its first quarter of operation, has lowest production costs by about $3 million on an annual basis. So this is a very good impact and we are very interested to see the ongoing effects on Cauquenes. The Cauquenes expansion projects as Klaus mentioned will commence once the $131 million loan facility is closed which involves the signing of multiple contracts will finance power and concentrates. For the operating and construction permits we have six of the eight permits in the hand and we expect the remaining two this month. I will now hand over to Aurora Davidson to discuss the Q3 financials.
Aurora Davidson: Thank you, Rob. Well as Rob and Klaus have stated Q3 was very good quarter (inaudible) increased copper production compared to Q2 and the implementation of cost reduction initiatives that have allowed us to post the lowest quarterly cash cost since Q4 2010. In particular the decision to carry out the processing of old tailings through the MVC staff rather than to a sub contractor, has provided for economic savings of approximately $240,000 per month including all labor costs, including the signing bonus for the additional work was hired to the effect of carrying out this operation. Considering the higher production levels, once Cauquenes is up and running the projected cost savings from this change are expected to be more than $7 million per annum. In Q3, cash cost was 192 per pound on total cost was 275 per pound. We posted a gross profit of $1.9 million our profit before tax of $2 million. And we generated cash flow from operations of $3.4 million or $2 million more than what was generated from operations in Q2. Our financial results were affected however by the accounting effects of adjustments to deferred or in other words future taxes given a significant tax reform enacted in Chile last September which I will refer to briefly in few minutes. In connection with this change our Chile future tax rates will increase gradually from 20% to 27% and as a result we had to adjust MVC deferred tax liability and recorded a deferred income tax expense of $5.3 million in Q3. This charge is a non-cash charge and without it we would have posted a profit of $1.6 million in Q3. In Q3 we spent cash of $2 million in CapEx both sustaining and Cauquenes and we closed the quarter with a consolidated cash position of $10.2 million. We reached an agreement with El Teniente division to defer royalty payments for basically the rest of the year and as of September 30 we had deferred $2.2 million of royalties. We see this deferral as bridge financing that allows MVC to accelerate some of the time sensitive works associated with Cauquenes project until the project finance is completed later this year. Proceeds from the finance will be used to normalize the royalty payment schedule with El Teniente which as you know provides the royalties to be paid four months in arrears. (inaudible) tax reform, the initial drafts of the reform presented a gloomier picture for our investors than the end product. The real change for us is a gradual increase in the income tax rate from 20% to 27% over a number of years with no changes in additional withholding tax on distributions of profits to shareholders which remains at 35% with a full credit for income taxes paid. The additional withholding tax will be triggered when distributions are made as has been the case historically and not when earnings are generated as the reform originally proposed. During the quarter we did significant progress on the financing front. The finance agreement is essentially complete including comments and request for participating backs. Our financial models have been updated to reflect the expected construction and commission schedules and the revisions to the cost structure at MVC that we have discussed. We are working diligently with the participating banks to dock the ice and keep the approval process moving swiftly to close the financing this quarter. That concludes my commentary and I believe the floor will be now open to questions.
Operator: Thank you. [Operator Instructions] The first question is from John Pancari from New York. Please go ahead.
John Pancari – Evercore Partners: Good afternoon. Four very quick questions I hope. One, cash cost, 192 a pound, going forward you initially projected $2.15 to $2.25 what would be the primary components of that increased cost?
Aurora Davidson: I think that the comment there is our guidance for the full year not on an isolated quarter basis. So there is some catching up that we have to do for the results that we had in Q1 to Q2 we anticipate that we will be able to remain with cash cost on the range of Q3 in the future on a standalone quarterly basis.
John Pancari – Evercore Partners: Thank you and follow-up here on the royalties. $2.2 million of accrued asset in September 30, do you have a number of accrual might be I know it's dependent on prices of copper etcetera. But ballpark on what the royalties might be by the end of the year and then when are those and how are those payable; is it a lump sum in January or --?
Aurora Davidson: Yes that is the case – well I think the assumption is about $2.2 million without any significant changes in copper or production levels would be a safe number to use in a monthly basis so the agreement is basically to refer approximately $9.1 million we anticipate that will be carried out for the deferrals that would normally happen in September, October, November, December and the commitment is to realigned the normal schedule of payments by January 31, 2015.
John Pancari – Evercore Partners: Making up all the arrears during that first month?
Aurora Davidson: That is correct. That is correct.
John Pancari – Evercore Partners: And the molybdenum production which was down substantially and I understand why would that come back considerably as copper production also rose or is that a separate issue I mean it was down as I initially said 26% what would be the estimate if you have one for how far that might come back?
Klaus Zeitler: John it is associated with grade and as a copper grades increases in Q4 we do expect money to pick up the bids but it's not going to get back to last year's level so we are maintaining on guidance at 500,000 pounds which we think will comfortably meets but we do expect molybdenum production to increase slightly in Q4.
John Pancari – Evercore Partners: Okay and my last piece here is just on the power cost. I know you have an arrangement of power cost for I believe another three plus years, with the increase demand on the new project, can you give us some color on what your plans are for providing the incremental power that you will need and obviously longer term when the existing contract expires, what you are contemplating in terms of an overall power structure?
Klaus Zeitler: Sure. Well John you are absolutely right. Our power contract goes to the end of 2017 with additional production from Cauquenes we would need more power than we have contracted and so we have been talking about additional power supply with power provider for the next two to three years. But the banks also want to see a long term power contracts so they are requesting us to have a contract which goes way beyond 2017 and so we are – we have been negotiating and we are pretty close to a power contract which would satisfy our full term requirements while the present cut power contract is still in place and then also cover our long term requirements beyond 2017.
John Pancari – Evercore Partners: Great. And before I go, just one more quick follow-up on the tax rate which I understand gradually migrates from 20% to 27% should I assume would be the case impact for the next year is it – what's the next step up is it 22% of the net profit, is it – how should I look at that?
Aurora Davidson: We have included that information in our MDNA and the increases this year to 21%, 22.5% in 2015, 24% in 2016, 25.5% in 2017 and 27% from 2018 onwards. Okay. So the final step of 27% will only take place in 2018.
John Pancari – Evercore Partners: Okay and that's the tax on the net profit or the after all charges?
Aurora Davidson: Yes that’s basically your income tax – the only comment that I would like to make without making this very confusing for all the listeners is the difference or the significant difference in the calculation of taxable income and financial income are the different depreciation calculation that you follow under financial and under tax. Under tax, we have up take for accelerated depreciation provisions which will have an important impact in mitigating tax expense for the expansion of Cauquenes because basically we will be able to accelerate the depreciation on the tax basis of the expansion compared to just the straight line depreciation that you take for booked.
John Pancari – Evercore Partners: Sure. Great. Thank you and on the distributions again it would be 35% on the amount actually distributed at the time of distribution.
Aurora Davidson: That is correct.
John Pancari – Evercore Partners: Okay. Thank you very much.
Aurora Davidson: Sure.
Operator: Thank you. [Operator Instructions] The next question is from Joseph Reagor from Newport Beach, California, please go ahead.
Joseph Reagor – ROTH Capital Partners: Hey guys it's Joe from ROTH. Good job on the tax cost this quarter. It's definitely remarkable improvement there. Just two, I guess questions this point. One is on the financing, will you guys be required to hedge any of your copper production as part of bank financing?
Aurora Davidson: No we don't require.
Joseph Reagor – ROTH Capital Partners: Okay. I know a lot of goal – and force to do that. So I just wanted to check on that. And then it's good to hear at least you guys can maintain the upside there. You said that the royalties would be year-end catch up, will they be booked in Q4 or booked in beginning of Q1 then?
Aurora Davidson: The royalties are being booked as a cost on an ongoing basis because the cost has been incurred. The only thing that – the only changes that we haven’t paid them. So the cost doesn’t change, you will just see the effect on the statements are higher cash at this stage and higher royalties payables and by the end of Q4, there shouldn't be any effect because we will have – we expect to catch up with those payments from the financing.
Joseph Reagor – ROTH Capital Partners: Okay. Then on that note, I noticed in the G&A breakdown there was about a million dollar credit for royalties. What was the basis of that?
Aurora Davidson: That is basically a – we have a derivative on royalties related parties and we have to re-measure that derivative at every reporting date sometimes the adjustment is an increase in the liabilities, sometimes it's the decrease in the fair value of the liability which was the case in Q3 and as such you have a recovery on your G&A charges. It's non-cash expense.
Joseph Reagor – ROTH Capital Partners: Okay because of the conversation about the royalties there seemed to be confusing I thought that was the delay in payment.
Aurora Davidson: No. the royalties to (inaudible) are a component of our cost of sales.
Joseph Reagor – ROTH Capital Partners: Okay. Alright. Well thanks a lot for the questions and the clarity.
Aurora Davidson: Perfect.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Kuta.
Michael Kuta: Thank you very much Paul. And thank you once again everyone for listening to our conference, our Q3, 2014 call. We look forward to talking to you again early next and all the best everyone during the holiday season. Thank you.
Operator: Thank you. The conference is now ended. Please disconnect your lines at this time and we thank you for your participation.